Operator: Ladies and gentlemen, thank you for standing by and welcome to the 2017 Q3 Earnings Conference Call of Melco Resorts & Entertainment. [Operator Instructions] I must advise this conference is being recorded today. I would now like to hand the conference over to your first speaker for today, Mr. Ross Dunwoody. Please go ahead, sir.
Ross Dunwoody: Thank you. Thank you for joining us today for our third quarter 2017 earnings call. On the call today are Lawrence Ho, Geoff Davis and our property presidents in Macau and Manila. Before we get started, please note that today's discussions may contain forward-looking statements made under the safe harbor provision of federal securities laws. Our actual results could differ from our anticipated results. I will now turn the call over to Lawrence.
Lawrence Ho: Thanks, Ross. Hi, everyone. In the third quarter of 2017, our group wide property EBITDA reached a record level of US$400 million, underpinned by 40% year-over-year increase in Macau property EBITDA and a 27% year-on-year increase in property EBITDA at City of Dreams, Manila. These results come despite new supply in both Macau and in the Philippines, highlighting our strong competitive positioning and operational execution. We continue to pursue quality, sustainable earnings growth by remaining focused on our mass market gaming segment while remaining committed to managing costs. At the same time, we have demonstrated our agility to react quickly to rapidly evolving market conditions by capturing significant VIP business and cash flow as that segment has expanded. In the past few quarters, we have also been successful in containing costs. That, together with the bad debt reversal resulting from healthy collection from our junket operators and direct VIP players, has been instrumental in driving the improvement in EBITDA and EBITDA margins in the third quarter of 2017. In addition to our disciplined approach in managing costs we have also, in the third quarter, grown our Macau mass gaming revenues 6% quarter-on-quarter, highlighting the ongoing focus on our core mass market business at City of Dreams and Studio City. We plan on further solidifying our leadership position in the premium segment at City of Dreams with its third and final phase of development. Phase 3 encompasses a range of exciting enhancement to our flagship property, including Morpheus, which remains on budget and on track to open in the first half of 2018. The Morpheus Hotel designed by the late Dame Zaha Hadid is said to be a true landmark that all of Macau can be proud of. Morpheus will add almost 800 luxury hotel rooms and villas to City of Dreams. It will also feature some of the most amazing and inspired must see non-gaming amenities in Macau, including incredible sky villas and infinity pool 130 meters above ground, dining concepts along sky bridges and a breathtaking atrium, not to mention the addition of pioneer gaming facility. Once Morpheus opens, we will commence the rebranding redevelopment of The Count:Down into a new hotel concept that is more consistent with City of Dreams' positioning as the leading premium focused integrated resort in the region. The project is expected to take 15 to 18 months to complete and the clock, The Count:Down clock, created by the world renowned artist Maarten Baas, is counting down the hours and minutes to the eagerly anticipated launch of City of Dreams Phase 3 in the first half of 2018. With the opening of Morpheus and the redevelopment of The Count:Down, City of Dreams 5 star and luxury hotel rooms will almost double to approximately 2,100. We believe such a meaningful increase in luxury hotel room inventory will bode well for the property's gaming operations and will serve as a key growth driver for City of Dreams over the long term. At Studio City, we will continue to refine our product offerings with a range of extensive property upgrades planned over the next 12 months. We will also continue to explore Phase 2 expansion of Studio City, which will be an incremental earnings driver over the next several years at a time when significant transportation infrastructure improvements come into effect in the Greater Bay Area. In the Philippines, City of Dreams, Manila continues to enjoy year-on-year growth across all gaming segments despite new supply within the Entertainment City. Moving on to the future development opportunities. Japan continues to be a core focus of ours as we believe this represents one of the most exciting integrated resorts opportunities in the world. We believe that our high quality assets, dedication to world-class entertainment offerings, market leading social safeguards system and commitment to being an ideal partner to local government and communities alike places us in a strong position to compete for a license in this exciting market. Lastly, I would like to take this opportunity to express our sympathy to all those who were affected by Typhoon Hato in late August. I send my deepest sympathies to the families who lost loved ones during the typhoon. I would also like to express my sincere appreciation to our colleagues who have risen to the challenge of rebuilding our community after Typhoon Hato. With that, I'd turn the call over to Geoff to go through some numbers.
Geoffrey Davis: Thanks, Lawrence. We reported group-wide property EBITDA of approximately $400 million in the third quarter of 2017, increasing by more than 38% from the third quarter of 2016, while luck-adjusted property EBITDA increased by over 30% on a year-over-year basis to approximately $373 million. At City of Dreams Macau and Studio City, EBITDA was positively impacted by a favorable VIP win rate by approximately $27 million and $10 million, respectively. At Altira, EBITDA was negatively impacted by an unfavorable VIP win rate by approximately $13 million. We have observed an ongoing improvement in the credit environment in Macau with some meaningful success in collecting our outstanding receivables. During the quarter, the company had a $9 million bad debt reversal as compared to an $8 million bad debt provision in the second quarter of 2017. This had a positive net impact of $17 million in our third quarter compared to the prior quarter. As Lawrence mentioned, the company has maintained its company-wide cost discipline by lowering the property-wide daily OpEx run rate over the past few quarters. The cost reduction was primarily a result of reduced payroll expenses, which was down by approximately 8% year-over-year in the third quarter of 2017. The EBITDA contribution from our non-VIP segments represent more than 85% of luck-adjusted EBITDA on a Macau-wide basis. The luck-adjusted property EBITDA margin in Macau was approximately 29%, up from 24% in the prior quarter and up from 24% in the third quarter of 2016. City of Dreams Manila delivered total property EBITDA of $57 million, representing an increase of over 27% year-over-year. The property EBITDA margin was 39% in the third quarter of 2017 compared to 36% in the prior quarter and 34% in the same period last year. On a luck-adjusted basis, Manila's property EBITDA would have been approximately $55 million, representing a 55% year-over-year increase, with luck-adjusted EBITDA margins expanding by almost 320 basis points on a year-over-year basis to 34%. To provide more clarity regarding our capital structure within our core group, we had cash of approximately $780 million and gross debt of just under $1.5 billion, excluding Studio City in the Philippines, at the end of the third quarter of 2017 on a segment reporting basis. As we normally do, we'll give you some guidance on non-operating line items for the upcoming quarter. Total depreciation and amortization expense is expected to be approximately $135 million to $140 million, including approximately $47 million at Studio City. Corporate expense is expected to come in at approximately $33 million to $36 million, and consolidated net interest expense is expected to be approximately $65 million, which includes financed lease interest of $10 million relating to City of Dreams Manila and $11 million of capitalized interest. For those who follow City of Dreams Manila more closely, our building lease payment for the third quarter of 2017 was approximately $8 million. Finally, to enhance our communication with existing and prospective investors from the third quarter of 2017 onwards, in addition to our usual earnings release we have posted a quarterly earnings presentation to our investor relations Web site. That concludes our prepared remarks. Operator, back to you for the Q&A.
Operator: [Operator Instructions] We have the first question from the line of Kenneth Fong. Please ask your question.
Kenneth Fong: I have two questions, if I may. First one is on the mass COD. I noticed that this is two quarters in a row that we have a mass hold rate which is slightly lower than the historical range. Is this something structural or we can do something to improve it? If you look at the mix, this is because of the best sites decline, the time or the mix between the high end and the base mass player that's driving the lower hold. And I have a follow up question.
Gabe Hunterton: Thanks, Kenneth. This is Gabe. Regarding the hold, the expansion in the market creates a natural promiscuity amongst the customers and there is a short-term reduction in the hold. But we believe this is coming to an end and with Morpheus coming on and its large increase in COD's high-end room inventory, we believe that the COD mass hold is going to continue to grow significantly in the future.
Kenneth Fong: Thanks. My second question is into next year with your competitors saying that there will be more of their marketing campaigns and with MGM also opening in the first quarter next year. So how do you see the trend in your player reinvestment, especially on the premium mass? And the margin outlook for your premium mass next year, please? Thanks.
Lawrence Ho: Kenneth, this is Lawrence here. So maybe I'll answer on behalf of all of our guys here because, I guess, this question also involves Studio City and to a lesser extent, Altira. But I think what we have seen so far in the two years of growth in the market and with the new properties opening up, is the fact that everybody has been well behaved and have really kept the line on reinvestment. And as a company, we've always focused on delivering better experiences and better quality of service. And that will always be our motto. So we don't anticipate any changes in that. And so if anything, the addition of MGM next year is probably one-third of the addition that we've seen with Wynn Palace and Parisian. So I think so far the market is growing nicely. Everybody is playing along very nicely. And it's a healthy competition among ourselves which is [indiscernible] product offering.
Operator: We have the next question from the line of Anil Daswani. Please ask your question.
Anil Daswani: A couple of questions from me. First of all, could you possibly give us a view as to if you've changed your strategy a little bit towards the VIP market given the resurgence that we've seen in VIP And some of the old junkets that we hadn't seen in Macau for a while have started coming back. Is there any plans to move some tables back into that VIP arena? So that's the first question. The second question is around your branding. And obviously, The Count:Down Clock is going. Will the Crown brand be changed at the same time COD in Macau as well as in Manila? And the third question, Altira continues to be a little bit of a disappointment, is there any views of looking at that business or restructuring that property in any way, shape or form?
Lawrence Ho: Hey, Anil, it's Lawrence here. Let me try to take that. I think on your first question about VIP, of course VIP has pleasantly surprised everyone and I think as Geoff and I have spoken for many years now, we're agnostic to the business. And we've always been very proud to focus on the high-end business, so be it on the premium mass side or even on the premium VIP side. Given what we have invested in COD and also Studio City, we have always felt that we were ideal for that market and therefore, I think so far this year we've seen an outsized increase in VIP business. And so we're happy to take that. We're not going to -- it's a great opportunity and we'll continue to capitalize on that. But I think the long-term development of the market will continue to be based on premium mass. And I think we're really, really, really excited about the opening of Morpheus because that will really launch a new face of COD, a re-imagined COD. We've done a lot of work to improve City of Dreams over the last few years and it's all going to be the big moment to make a big launch will really help us realize our dreams. And in terms of branding, which is related to that, we have some significant, as part of the Morpheus opening, we have some significant and very exciting plan to re-launch City of Dreams together with the hotel brands. Of course, we're shutting down The Count:Down and developing a brand new luxury hotel tower. But the deal with Crown is that we get to use their brand for 12 months from, I think, February of 2017. So right around the time right before Morpheus launch, we're also going to have a new brand for Crown. So, again, it all wraps up very nicely. And with all the hard work and investments over the years with Morpheus leading the way next year, we think there is a great chance for us to capture again an outsized growth in the market in both the premium mass and also the premium direct side of the business. And I think if I remember correctly, the last question is on Altira. To be honest, Altira was our first property. It's a Forbes Five-Star property with Michelin [indiscernible] restaurant in there. Where I'm extremely proud of it it's, I think of it as really my first child. And I think with Andy and the new team who have put in some significant effort in terms of rejuvenating Altira, I'm happy with where it's heading and I know that somehow there is always this notion in the market that Altira is on the selling block. There is absolutely no truth to it whatsoever. Altira is a phenomenal property that is critical to our portfolio of assets.
Operator: We have the next question from the line of David Bain. Please ask your question.
David Bain: I had some issues getting on the call, so it's been asked and answered, just moving on, I'll move on. But great quarter, obviously. Maybe, Geoff, this one would be for you. COD margins, 34.4%. I know hold was on the high side but can you give us an adjusted margin or ballpark it?
Geoffrey Davis: Sure, Dave. So an adjusted margin for COD is in the 34% range.
David Bain: Okay. Great. So like high hold, if you were to normalize the hold that would still be the margin around that range?
Geoffrey Davis: Correct.
David Bain: Okay. Fantastic. And then I also wanted to ask you about mass at COD. Maybe, Lawrence, for you. Up solidly again year-over-year. I guess the question I had was on mass hold, if we're seeing a couple of basis points down from the historical results, sort of the new normal until Morpheus opens? Is there some patron movement between the Palace, some COD that we're working time on device. I mean I don't want to split here, I'm looking at the Palace mass win rate far below yours. I'm just trying to understand that going forward.
Lawrence Ho: Dave, it's Lawrence here. Gabe answered this question earlier, but maybe I'll try to give you the short version. But I think for COD mass, we're happy with the volume. Volume is growing nicely, but on the hold, as you call that, Gabe will explain.
Gabe Hunterton: Yes. Thanks, Dave. It was, we covered it in the first question. But real simply there is in the expanding market, there's a natural promiscuity amongst the customers but we think that's coming to an end. And obviously with Morpheus coming online and a significant increase in the high-end hotel inventory, we look forward to the COD hold percentage growing significantly in the future.
David Bain: Okay. Okay. And then just final one, I guess. Is there any way we can discuss the potential for the Studio City IPO in broad terms, maybe timing, thought process behind the idea? And along with that, maybe how the government extensions are doing on Phase 2 and some initial thoughts behind what you're looking to do there.
Geoffrey Davis: Dave, it's Geoff. Given the IPO, the potential IPO, we are under some regulatory restrictions so we're not able to discuss that at this time.
Lawrence Ho: And Dave, on your Phase 2, I think the application is being considered and a final government decision is pending.
Operator: We have the next question from the line of Billy Ng. Please ask your question.
Billy Ng: Just one quick question on Studio City. We saw that mass volume has grown pretty well in the third quarter. What kind of things that you guys have done to change that and how much more, or what kind of ramp up growth we can expect for the next few quarters on the mass side of the Studio City?
Lawrence Ho: Billy, I think let David go through the details, but I think Studio City is finally starting to reach its potential but I think it's still early innings in terms of the ramp up.
David Sisk: Yes. I think, Billy, a couple of things. So I think one is that as we continue to grow organically with these players and as we identify the players, we start building relationships, our data base continues to grow. And as we talked about in prior calls, the quality of those customers is kind of significant to us in terms of how we get them to play longer and stay with us longer. They become, essentially they're non-lodgers, they become lodgers. The more customers that stay with you, obviously the more play you get, the more money we make. So it's a really simple kind of process. The other thing too is we've brought on some additional marketing people and their focus as well is in developing new players and continue to build those relationships.
Operator: We have the next question from the line of Harry Curtis. Please ask your question.
Harry Curtis: If I could just take a step back on the math in the quarter to make sure that we have it right. After you back out the impact of luck and the reversal, we're getting to kind of a clean EBITDA number of around 330. Is that a fair number?
Geoffrey Davis: So net -- Harry, you are talking net of corporate?
Harry Curtis: Net of corporate. I'm sorry, I did back out corporate. You're right.
Geoffrey Davis: It's about $373 million property EBITDA, less corporate, less the $17 million of the reversal.
Harry Curtis: Okay. All right. I'm sorry, I misunderstood. I thought the reversal was $9 million. Okay. So it's probably closer to $320 million. Okay. Then, Geoff, if you wouldn't mind giving us a sense of your CapEx budget this year and next year and what the puts and takes are there?
Geoffrey Davis: Sure. So for next quarter, we have roughly $250 million of CapEx. That includes the build out of Morpheus. And for next year, we've got about $200 million. That does not include any CapEx for Studio City Phase 2 or the refurbishment and rebranding of The Count:Down. And then beyond that, our maintenance CapEx is somewhere in the ballpark of $100 million to $125 million. The $200 million that I mentioned for 2018 includes maintenance.
Harry Curtis: Okay. Once Morpheus opens, you will be generating a fairly significant amount of free cash. But it sounds like with the renovation of Count:Down and the potential incremental investments at Studio City that most of the free cash flow is going to go back into growth CapEx?
Geoffrey Davis: Well, the known development pipeline really ends with the opening of Morpheus in the first half of next year. There are some potential projects. And of course we have Phase 2 at Studio City, but we view that a little differently as a joint venture. So once we've built out Morpheus, then we start generating some very significant cash flow. And at that point, the decision for the board will be to assess our forward-looking needs, existing cash and then make determinations about use of capital, potential return of capital to shareholders. And as you know, we've been fairly aggressive very recently on share repurchase and special dividend and, of course, our normal quarterly dividend. So at the end of this year, as we have done for the last several years, we'll take a look at the state of the balance sheet, cash reserves, projects looking forward and make a determination around year-end, beginning of next year on what that policy looks like at that time.
Harry Curtis: Okay. And just one last quick question. Can you give us a sense of, once Morpheus opens, the mix between customer segments between premium mass and junket? What I'm trying to get a sense of from a modeling perspective is its impact on your margins.
Geoffrey Davis: Well, the focus -- maybe I'll answer it this way, Harry. It's Geoff. The focus will be on premium mass. So from that perspective, you may see a mix shift more towards premium mass. And of course you're well aware of the margin potential there.
Harry Curtis: Right. I mean, incrementally, do you think that from overall Macau point of view, that your mix of premium mass business is likely to go up and that should have a positive lift on your margins? Is that how we should be playing it?
Geoffrey Davis: Correct. As we layer in an additional 800-odd rooms focused on premium mass, the most likely impact of that will be a mix shift towards premium mass, blended at City of Dreams but also blended across all properties in Macau.
Operator: We have the next question from the line of Jared Shojaian. Please ask your question.
Jared Shojaian: Lawrence, you had mentioned containing costs and some of the initiatives that you have going on right now and the margins obviously came in pretty strong in the quarter. Can you just elaborate on that a little bit?
Lawrence Ho: Well, I think Geoff is very focused on that. And I think unlike, of course the market has rebounded for 15 straight months, but unlike some of our competitors, efficiency and continuous improvement is our number one priority. So I think Geoff and his team has been working with all the properties and all of our internal departments to see where we can continue to achieve more efficiency, be it from Lean management and on other savings. I don't know, Geoff, if you want to [indiscernible] a little bit more.
Geoffrey Davis: Sure, it's definitely been a collaborative effort across all properties, all departments. Really just having people focus on cost savings but primarily on efficiencies. And there's no silver bullet. There's no one particular initiative that has yielded a bulk of the result. It's really across numerous, different smaller initiatives, but they add up into meaningful savings. So it's really about looking at processes and trying to be efficient use of technology to automate some of these processes. So a multiplicity of different initiatives that we've looked at that in aggregate, can be meaningful drivers.
Jared Shojaian: Got it. Okay. Thank you. And then, Lawrence, as I look at the stock here, MLCO continues to trade at a discount here to peers. I mean is there any desire to, I guess, increase the Melco international trades here and sort of capitalize on the valuation? Anything you can share there?
Lawrence Ho: Well, again, not much I can share because after all this is a Melco Resorts call. But I think for Melco International, Melco Resorts is our most important and by far in a way most core asset. And we continue - as speaking as a shareholder of Melco Resorts, I continue to be super supportive and very pleased with the development and we'll see if the opportunity arises in the future.
Operator: We have the next question from the line of Angus Chan. Please ask your question.
Angus Chan: Could you quantify, or is it possible to quantify the impact of the typhoon during 3Q?
Geoffrey Davis: Obviously, the typhoon was something where the company came together for the good of community, and Lawrence had our construction crews on Morpheus out in the community, helping with those initiatives. Overall, I would say from a financial perspective the impact was fairly modest. Of course, there was the donation that we had highlighted previously but from a financial impact, it was manageable.
Lawrence Ho: It was manageable, and I think it was unfortunate that Altira closed for a couple of days and I think overall, I think subject to insurance claims that I think we're well covered by insurance. And, again, all properties were very well built. We're very proud, we've always been very proud of how we built the properties, and so the damage was manageable. But I think, again, much more importantly as I said in our prepared remarks, really the courage and the heart that was demonstrated by our colleagues was just phenomenal and I hope that we'll continue to show the Macau community and also to show that the Melco caring culture is really part of our, a core part of our DNA.
Operator: We have the next question from the line of Simon Cheung. Please ask your question.
Simon Cheung: So I have three questions. The first one related to Studio City. I noticed that the EBITDA run rate, if you were to normalize the win rates, were actually quite steady quarter-on-quarter. I'm just wondering if you would be able to share some thought about to what extent do you think the property could achieve. For example, I think Parisian they mentioned they're hoping to, well, they already achieved about 20% return on invested capital, hoping to reach about $500 million. Is that some sort of target that you have? And then timing on Phase 2 as well?
Geoffrey Davis: This is Geoff. Just one comment. On a CO basis, at Studio City in the third quarter was $86 million. In the second quarter, $75 million. So it's actually a fairly meaningful sequential increase in CO EBITDA, just for clarification.
Lawrence Ho: But I think, naturally, it's Lawrence here, so we're obviously still not happy with that. And as we said earlier on, there are some significant property improvements and I think over the longer term, when Hengqin Island and also the Lotus Bridge is more advanced, I think we would be even more excited about it. But in the interim, David and his team has a lot of plans in terms of how to further activate their property and speed up the continual ramp up. I don't know, David, you want to elaborate on it a little bit more?
David Sisk: Yes, sure, Lawrence. I think, again, there's a few things. As we continue to build relationships with customers, that's been one of our primary focuses. What we also are doing too is identifying where we've got new opportunities to perhaps not only from a gaming standpoint but from a non-gaming standpoint, where we have opportunities to improve the overall result. And then lastly is we're kind of looking at the property and looking more longer term and seeing what we can maybe do to enhance certain elements of the property that maybe were not as well received when we opened the property.
Simon Cheung: Okay. Understand. And then the second question. I just wanted to make sure I understand correctly, Geoff. And so for COD, the win rate adjusted EBITDA and also if we were to adjust it for the bad debt recovery, it should be 246 minus 27 and minus 17, so that would be more or less like 202 or something. Is that the correct figures that we should be using?
Geoffrey Davis: Well, so CO at City of Dreams was $219 million. For the quarter, the bad debt provision was a positive $9 million. In the prior quarter, it was negative $8 million. So the swing was $17 million. So depending on how you want to look at it.
Simon Cheung: All right. Understand. And then my last question, just again in relation to the cost that you have commented. Staff cost is out by 8%. Do you have some sort of targets going forward? How much more costs you can extract?
Geoffrey Davis: This is Geoff. From my perspective, I think there's still meaningful cost saving opportunities across the organization. We have the opening of Morpheus in the first half of next year, which allows for some opportunities for promotions and advancement for our colleagues. We don't have a specific target in mind but as Lawrence said, despite the fact that the market has returned to meaningful growth, we are still very focused on efficiency and we've been able to be successful managing both the top line and the cost line. It is more of a continuous improvement campaign, so we'll be looking at it across all segments and all properties on an ongoing basis. So no specific target, but from my perspective there's still significant opportunity for efficiencies going forward.
Operator: We have the next question from the line of Billy Ng. Please ask your question.
Billy Ng: Sorry, just a follow up question. Geoff, would you mind to summarize all the one-off items. If I understand correctly, the bad debt reversal is only $9 million for the quarter, right? And how about if we want to back out donation, how much impact or any other potential one-off items that we can back out?
Geoffrey Davis: So the donation, Billy, is below the line. But the bad debt reversal, again, it's depending on how you want to look at it. It was a positive number for the quarter. Last quarter, it had run at negative $8 million. So if you want to take it to zero, it's a $9 million swing. If you want to look at it compared to the prior quarter, it's $17 million.
Billy Ng: Okay. Thanks. So no other one-off items that affected the margin?
Geoffrey Davis: Nothing else that we've highlighted.
Operator: At this time, there are no further questions. I'd like to hand the call back to speakers for any closing remarks.
Lawrence Ho: Very good. Thank you everyone for joining. I look forward to speaking with you next quarter.
Operator: Thank you, sir. Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may all disconnect.